Operator: Good afternoon everyone and welcome to Snap Inc's Fourth Quarter 2020 Earnings Conference Call. At this time, participants are in a listen-only mode. After the prepared remarks, there will be a question-and-answer session. [Operator Instructions] This call will be recorded. Thank you very much. Betsy Frank, Senior Director of Investor Relations, you may begin.
Betsy Frank: Thank you and good afternoon everyone. Welcome to Snap's fourth quarter 2020 earnings conference call. With us today are Evan Spiegel, Chief Executive Officer and Co-Founder; Jeremi Gorman, Chief Business Officer; and Derek Andersen, Chief Financial Officer. Earlier today, we made a slide presentation available that provides an overview of our user and financial metrics for the fourth quarter 2020 which can be found on our Investor Relations website at investor.snap.com. Now, I will cover the Safe Harbor. Today's call is to provide you with information regarding our fourth quarter 2020 performance in addition to our financial outlook. This conference call includes forward-looking statements. Any statement that refers to expectations, projections, guidance or other characterizations of future events including financial projections, future market conditions or the impact of COVID-19 on our business and on the economy as a whole is a forward-looking statement based on assumptions today. Actual results may differ materially from those expressed in these forward-looking statements and we make no obligations to update our disclosures. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued today, as well as risks described in our quarterly report on Form 10-Q for the quarter ended September 30, 2020, particularly in the section titled Risk Factors. This information can be found in our other filings with the SEC when available. Our commentary today will also include non-GAAP financial measures and we believe that the use of these non-GAAP financial measures provides an additional tool for investors to use in evaluating ongoing operating results and trends. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in our press release issued today, a copy of which can be found on our Investor Relations website. Please note that when we discuss all of our expense figures, they will exclude stock-based compensation and related payroll taxes, as well as depreciation and amortization and non-recurring charges. At times in our prepared remarks or in response to questions, we may offer additional metrics to provide greater insight into our business or our quarterly and annual results. This additional detail may be one-time in nature and we may or may not provide an update in the future on these metrics. Please refer to our filings with the SEC to understand how we calculate our metrics. With that I'd like to turn the call over to Evan.
Evan Spiegel: Hi, everyone, and thank you for joining us. Our mission is to contribute to human progress by empowering people to express themselves, live in the moment, learn about the world and have fun together. From start to finish 2020 reinforced the importance of that mission. During one of the most challenging years in recent history for our global community and their loved ones, our team worked hard to find ways to bring people closer together. We've enabled relationships to deepen and flourish, even as we were physically apart. We added 16 million daily active users this quarter for a total of 265 million up 22% year-over-year. This growth validates the broad appeal of our service and the role we play in the life of each member of the Snapchat community. Our quarterly revenue increased 62% year-over-year to $911 million showing the trust advertisers have placed in us and our communities receptiveness to brands with shared values. We expect our relationships with community members and business partners to become even stronger as our platform continues to evolve. We set an internal goal for full-year adjusted EBITDA profitability in 2020 and I'm excited to share that we achieved this with positive adjusted EBITDA of $45 million. As a result of exceptional efforts from our team members around the world and their disciplined execution, our fourth-quarter adjusted EBITDA was $166 million. Achieving full-year profitability in the midst of such a difficult and destabilizing year proves the resilience of our business and represents an important milestone as we work towards being able to self-fund our investments in the future. Snapchat is embraced by a generation that is driving the future. The Snapchat Generation primarily Gen Z and millennials are 150% more likely to communicate with pictures than words and 82% of them believe they have a personal responsibility to change the world. Our opportunities to serve and uplift this community in the coming decades will continue to grow and we are inspired by the world that the Snapchat Generation is working to create. At the core of this opportunity is the power of our camera. It is one of the world's most used cameras with an average of over 5 billion snaps created every single day. Cameras are no longer only a means to capture a moment in time or a memory, they now enable a whole world of self-expression and visual communication and we have worked to drive this fundamental transformation since our founding. We've done this by putting the camera at the center of our application and the center of our strategy and by building businesses around it. Empowering people to communicate visually drives high-frequency engagement with our application with daily active users opening Snapchat 30 times per day on average. This means that improving speed, ease, and quality of visual communication are important for growing engagement. We finished rolling out new messaging infrastructure this quarter, making it easy to innovate and add new features within chat, while simultaneously improving performance and enabling regionalization of our chat infrastructure. We also made significant improvements to the video quality for Snaps while still ensuring Snapchat is the fastest way to communicate and share a moment. The first platform we built to extend the utility of the Snapchat camera beyond visual messaging was stories which allows Snapchatters, publishers, businesses and influencers to express themselves in creative and compelling ways without the pressures associated with traditional social media. Stories are a ephemeral display content in chronological order and don't have public likes or comments. We have evolved Stories over time to embrace new formats like shows with total time spent watching shows increasing nearly 70% year-over-year in 2020. Our commitment to both the quality and integrity of content on our service has driven a lot of this product evolution. Initiatives like our 2018 redesign to separate social content from media content, our content guidelines that we enforce equally across publishers and all community members and our early decision to create a hand-curated platform with Discover proved valuable as we have been able to provide trusted and reliable content to our community. For example, during the week of the US Presidential election nearly 30 million Snapchatters watched election related coverage on Discover from our trusted media partners. We're also excited to see the success the both new and traditional media companies are finding on our content platform. Partners ranging from digital natives like Wave TV, Barcroft, Team Whistle and Group 9 to more established media companies like NBC Universal, ESPN and Viacom CBS have each reached over 25 million viewers across their Discover channels in Q4. We have launched 10 new Snap Originals, including the second season of Will Smith's Will From Home, a show which has reached 43 million total viewers in its two seasons. Offering relevant content to our diverse and growing user base is an important part of our strategy. And we have a launched a record 97 new international Discover channels this quarter. Furthermore, we continue to add shows and publisher content offerings that appeal to older audiences with a 25% year-over-year increase in viewership among our 35 plus audience. The camera also drives engagement on our map. Our goal is to build the world's most personalized map and we made investments few years ago that are now paying dividends. Each month over 250 million Snapchatters open our map where they can find the people and places that mean the most to them. Our community can engage with shared stories from around the globe and explore new places by tapping on the map. There are now more than 35 million businesses on the map for our community to discover and connecting local businesses with prospective customers represents a substantial future revenue opportunity for our business. More recently, the power and frequency of use of our camera allowed us to launch Spotlight. We're really excited about the opportunity that this new platform creates for our community to reach a large audience with their most compelling snaps and to be rewarded for their creativity. We've long watched as some of the best snaps go viral on other platforms and wished to provide a way for snaps to reach a larger audience on Snapchat but we struggled to accomplish that in a way that aligns with our values. Spotlight combines a simple submission flow that allows people to submit their best snaps in just one tap with a rigorous review and ranking process that allows us to filter out content that is inconsistent with our guidelines, the result is a fun and safe product experience that services the best of Snapchat all in one place. Our primary goal in launching spotlight was to build critical mass, both in terms of video submissions and audience in a select set of countries, so that we could begin to rapidly iterate on content ranking and the overall product experience. We are seeing over 175,000 video submissions per day on average, in part due to our incentive program for creators where we distribute over $1 million per day to the top performing videos. Getting early momentum with creators is vital for attracting new viewers to the Spotlight experience and these investments have helped Spotlight grow to over 100 million monthly active users in January. Our product and ranking teams have been able to quickly improve our ability to match Spotlight viewers with the right content and we are now working on a broader rollout of Spotlight to our entire community. Our commitment to reinventing the camera is most evident through our advances in augmented reality. Today, more than 200 million people engage with AR on Snapchat every day on average. We have co-developed our vision for augmented reality together with our growing community and have created cutting-edge tools and capabilities that allow creators to build increasingly advanced lenses and distribute them to the entire Snapchat community. We are inspired everyday by the creativity of our creator community who have made over 1.5 million lenses using Lens Studio across a growing variety of use cases. For example, during a year when physical gatherings were difficult for many, AR remains integral to empowering Snapchatters self-expression, creativity and connectivity with loved ones during the holidays. For Diwali this year, many lenses leveraged new body tracking and segmentation capabilities, so people could spry on best of stories in AR. Our community played with Diwali theme lenses more than 500 million times, more than 8 times the engagement of our Diwali lenses last year. We are particularly excited about the ways that AR is evolving beyond self-expression, communication and entertainment. For example, our beauty partners have been accelerating their investments in virtual discovery and trial on experiences in response to the COVID pandemic. The Estee Lauder Companies brands, two faced cosmetics launched an eye makeup tutorial lens through Lens Studio. The Lens overlays each step of makeup application in augmented reality and can be activated anytime by scanning the product's packaging. The brand's lens organically, grew to become one of our top-performing lenses with millions of people using it to learn about the product. Other examples include NYX Professional Makeup's virtual store they created in Lens Studio where people can walk around and explore their products in AR. In addition to promoting this experience on their Snapchat brand profile, they're also leveraging Camera Kit to distribute their Lens to partners like Triller. We are doubling down on our solutions for beauty with our partnership with Perfect Corp which will enable hundreds of makeup brands to seamlessly create high quality makeup AR experiences. Beauty is just one of the many areas where we see opportunities to provide valuable utility through augmented reality. We are excited to continue investing in experiences like trying on clothes, visualizing products in your home, learning about the items and locations around you and so much more. We're excited about the progress we're making in collaboration with our partners on games, minis and Snap Kit. For example, Voodoo revamped one of its most popular games Aquapark, so Snapchatters can play in real-time with their friends on Snapchat, complete with in-game Bitmojis. TurboVote supported our Gen Z and millennial audience during the 2020 election with its voter registration mini, which helped register more than 1.2 million US Snapchatters. We recently launched an integration with Twitter using Creative Kit where Twitter users can share tweets directly through Snap's and Stories on Snapchat. Bitmoji kit helps personalize user experiences through people's beloved avatars whether on the Samsung default keyboard or when you're spending money on Venmo. We are now powering AR experiences on other apps through Camera Kit, further expanding the opportunity of Lens Studio. In just the past two years since our first partner summit, we have launched several new capabilities and thousands of successful partner integrations and we look forward to continuing this momentum, as we expand our platform. Looking forward, we are focused on continuing our disciplined execution on both our short and long-term goals for growing our business. We plan to make additional progress on profitability and free cash flow, accelerate our full-year revenue growth beyond the 46% year-over-year growth achieved in 2020 and grow our community around the world by improving and localizing the Snapchat product experience. We are also reorganizing our product team around the five core platforms on Snapchat; Map, Communication, Camera, Stories, and Spotlight which we believe will drive increase focus and operational excellence, as we transition each platform into a monetizable business. We successfully made that transition with stories which we monetized with full-screen vertical video ads and with our camera where businesses can pay to promote their lenses. All of our platforms shared the same powerful monetization infrastructure, which drives strong ROI for our advertising partners. In time, we look forward to creating new ways for businesses to reach customers on our map, engage with their customers using Minis and games and chat and extend the reach of their video campaigns on Spotlight. Lastly, we see a tremendous opportunity to innovate in e-commerce, which to date has been largely driven by utilitarian benefits such as price, selection and convenience. As we have learned from our progress and providing new ways for people to try on and interact with products using augmented reality, improvements in the shopping experience to make it more entertaining and immersive can lead to powerful downstream results in terms of conversion. We plan to experiment rapidly and plant many seeds because we see this opportunity as very large and still very early in terms of maturity despite the massive step change in adoption, due to the global pandemic. This year has shown us that there is nothing more important than the people we share our lives with. As the global health crisis is addressed and the world begins to reopen, we see opportunities to help strengthen the bonds of the Snapchat community all over the world and are committed to making sure Snap continues to play a positive and constructive role in people's lives. I look forward to speaking with many of you in a few weeks at our first-ever Investor Day when you'll have the chance to meet more of our extraordinary team. Until then take care and stay safe. I'll now turn it over to Jeremi to share more about our business.
Jeremi Gorman: Thanks, Evan. 2020 was an important year for us. We are in the early stages of an inflection point, as we work towards becoming a cornerstone of advertiser's media plans and growing our always-on budget, which positions Snap for a long runway of growth. Not only have we invested for the future, but we also delivered strong results amidst unforeseen challenges throughout the year and demonstrated the resilience of our team, our business and our ability to deliver strong ROI through one of the most extra normal times in our industry's existence. In 2020, our full year revenue was $2.5 billion, growing at 46% year-over-year, an acceleration of 1% from 2019. In Q4 2020, we generated revenue of $911 million, a significant acceleration of 18 percentage points to 62% year-over-year growth. These results are a byproduct of the hard work being done across all teams at Snap and validate the decisions we've made around our business structure, our go-to-market strategy and the products we have built for our community and advertisers. While brand advertisers encountered some disruption during the year, direct response advertisers remained steady as we continued to demonstrate that we are an efficient platform for driving results across down funnel metrics. In Q1 of 2020, our business grew 58% year-over-year during January and February but slowed in March and throughout Q2 as the realities of COVID-19 and subsequent economic impacted the course. However, in Q3 and Q4, we saw many existing advertisers return to Snap and so many new ones leverage our innovative ad formats and bidding capabilities to drive real business value on our platform. This drove active advertisers to an all-time high. In addition, our brand safe environment and privacy-first approach has differentiated us from our peers. These emerged as important themes in 2020, we don't believe they are going away and they have led to improved advertiser retention and increased demand. The recent audit of digital platforms and advertising spend by many brands has given us an opportunity to educate the highest levels of our industry on our points of differentiation and safety by design principles. We have been able to tell our story to an attentive elevated audience but is reevaluating marketing dollar allocations, while there is still more to do, we are excited to continue building on our recent results and investing to capitalize on our momentum. We are fully focused on making progress against our revenue and ARPU opportunities, which we believe will be driven by our three key priorities. First, investing in our sales and marketing functions by continuing to train higher and build for scale. Second, driving ROI through measurement, relevance and optimization. And third, building innovative ad experiences around video and augmented reality. Our unwavering commitment to these three priorities along with our unique reach and growing global audience allow us to drive performance at scale for businesses around the world. The pandemic and stay-at-home orders accelerated the digital transformation creating a new normal where brands are trying to determine the technology and trends that are here to stay. For instance, with a more limited ability to get physical products in the hands of consumers in store, more brands are turning into augmented reality for virtual try-on including combining AR and video tutorials for a best-in-class try-on experience. This trend is only accelerating with the Snapchat Generation. Our reach among 13 to 34 year-olds in many of our established markets continues to grow could which give our business incredible insights on what these generations are looking for. And our priority is helping brands connect with the Snapchat generation in new and unique ways. Our sales model allows us to build deep domain expertise and to prioritize and pivot resources on certain verticals accelerate or decelerate with macro trends. This approach proved its value in 2020 and we were able to focus our investments on top-performing verticals, which included e-commerce, CPG, tech, telco, gaming, streaming, financial Services and restaurants. For example, even while films were largely out of the theaters because we have highly performing ad products, we saw impressive growth in streaming and we're pleased to see our entertainment advertising partners increase spend as they pivoted to direct response. In addition, we also saw QSR brands such as Chipotle leverage our location-based technology to encourage customers to order and pick up meals from their restaurants at scale. Our ad platform is maturing to a place where as advertisers move their dollars they see strong ROI giving us increased confidence that budgets will build over time. We are also offering more down funnel bidding capabilities that allow advertisers to optimize for the objectives they are trying to achieve and we continue to scale these products in 2020. For example, revenue from our pixel verified sign up goal-based bidding product increased more than four times year-over-year in Q4, one of four down-funnel optimizations that our year-over-year revenue growth in excess of four times as we continue to see strong advertiser adoption of our goal-based bidding optimization. We believe this is one of the clearance ways for us to scale revenue and close the ARPU gap relative to our peers. The COVID-19 pandemic has brought rapid change in shopping patterns, as people have moved their consumption online. Direct-to-consumer businesses are flourishing and consumers are looking for new ways to discover product at home. We are committed to finding new ways to support businesses via out ad products and tooling capabilities while providing our community with new ways of experiencing the products and brands that they love. Many advertisers were able to leverage our ad formats that naturally support the e-commerce opportunity. For example, UGG, a part of Deckers brands started testing Dynamic Ads in October 2019. After initial testing proved to be extremely successful, they increased investment by over 10 times in Q4 of 2020, during one of the most competitive times of the year for shoppers. This solution, not only helped them drive relevance during the holiday period, but they've shared this will be a key performance driver throughout the year. Brands are also exploring new ways to drive social commerce. In Q4, Ralph Lauren leveraged multiple components of our platform to drive both awareness and business results. First, they invested in creating a collection of Bitmoji outfits as an inspired effort to engage younger audience which proved to be extremely successful. Over 20 million users dressed their Bitmoji in Ralph Lauren and tried on the collection over 550 million times in the first five months of the partnership. Next, they utilized our Scan camera technology to enable an AR shopping experience after Snapchatters scanned their ubiquitous Pony logo. And finally, they built a new brand profile, which offers a permanent home for their brand, content and AR experiences on Snapchat. We continue to invest heavily to grow our video advertising business, the primary way we monetize Snapchat. We see more opportunity over time to grow video inventory particularly via the growth in viewership of Spotlight and Stories. We're using multiple products shows incremental results, for instance, Marc Jacobs leveraged Snap Ads and Commercials to drive sales and their new fragrance line, their Commercials campaign resulted in 43 point lift in Ad Awareness and a 6 point lift in purchase intent. Beyond video ad, we are focused on using augmented reality to solve real business problems for brands, allowing advertisers to engage with our audience directly via our camera. Adoption of our AR lenses has benefited from virtual try-on, consumers are in need of new ways to experience products and brands need to reach consumers where they are, at home. With both consumers and brands open to these new experiences, our platform is perfect for this moment. For example, Dior recently launched an AR trial Lens featuring 65 products from their new B-27 sneaker launch. Internationally, OnePlus India created lenses for Diwali as a means to bring people together safely during the pandemic. Their lenses garnered over 80 million impressions and reached over 14 million Snapchatters in India. Overall, the campaign was highly successful and drove a 9 point lift in both ad awareness and a 7 point lift in message awareness. We've also been investing and optimization algorithm that dynamically serve AR experiences for Snapchatters who are most likely to meet brands call. We've seen shoppable lens campaigns drove a 2.4 times higher intent lift than the average across all Snapchat campaigns measured in Q3. Lastly, businesses leveraging AR as one component of a larger multi-product campaign on Snapchat tend to achieve stronger results. For example, Activision Call of Duty: Black Ops ran one of the most successful campaigns we have seen in console gaming. They leveraged Snap Ads commercials and a reach in frequency Lens and saw an 11 point lift in favorability and a 5 point lift in purchase intent. Moreover, Snapchatters exposed to multiple ad products saw a 10 point lift in intent and the Lens drove a 17 point lift in intent. There is a lot more work to do in helping businesses achieve their goals via AR, but we are thrilled with the results that our partners are seeing and we're going to continue investing in this opportunity. In conclusion, we started 2020 on a high note and we ended it with accelerating momentum, which we plan to carry forward in 2021, continuing to drive ROI and performance for our advertising partners investing in innovative ad unit and providing support for our sales and marketing functions. I am confident in our long-term trajectory and I look forward to sharing even more at our Investor Day in a few weeks. With that, I'd like to turn the call over to Derek.
Derek Andersen: Thanks, Jeremi. Our Q4 financial results reflect our priorities of growing our community making focused investments in the future of our business and scaling our operations efficiently in order to drive towards profitability and positive free cash flow. As Evan mentioned earlier, our community grew to 265 million daily active users in Q4, an increase of 47 million or 22% year-over-year, which represents an acceleration over the prior quarter growth rate of 18%. The growth in our community continues to be broad-based, with year-over-year and sequential growth on both iOS and Android platforms and in each of North America, Europe and Rest of World. In North America, DAU grew by 5 million or 6% year-over-year to reach $92 million. In Europe, DAU grew by 7 million or 10% to reach 74 million. In Rest of World DAU grew by 35 million or 55% to reach 99 million. The acceleration of growth in Rest of World reflects the benefit of improved application performance in local markets, the popularity of Augmented Reality lenses created by our community and investments to better serve our community, including local content, local marketing partnerships, and broader language support. Total revenue for Q4 was $911 million, an increase of 62% year-over-year representing a 10 percentage point acceleration over the prior quarter. While global ARPU grew 33% over the same period, we continue to see strong adoption of our advertising products in Q4. Revenue from our Commercials ad product more than doubled year-over-year in Q4, as we continue to see building demand from advertisers seeking to reach Gen Z and millennial audiences at scale and with a full-screen video advertising product that is delivered adjacent to brand-safe content. In addition, revenue from our pixel verified purchase goal-based bidding products more than tripled year-over-year in Q4, as we have continued to benefit from strong adoption of our pixel by our advertising partners over the past year. Overall eCPM in Q4, increased 46% year-over-year driven by a combination of mix shift towards a higher eCPM product, such as Commercials, mix shift towards higher eCPM regions with the relatively higher growth in North America, as well as a rapid rise in overall demand sequentially. Despite this growth in eCPM, we believe our eCPMs remain well below market rates for our audiences and ad units. The ongoing growth of our community combined with deep engagement within our app, including deep engagement across platforms we have not yet begun to monetize, gives us ample opportunity to expand inventory and our ARPU opportunity over time. We continue to make improvements to our targeting and optimization capabilities that allow us to utilize our inventory more efficiently. In addition, we more than doubled the number of active advertisers year-over-year in Q4, which further contributed to our ability to optimize our targeting by providing a greater diversity of advertising offers for our models to select from. For example, while eCPMs for inventory monetized by our pixel verified purchases rose by 41% sequentially in Q4. The cost per purchase for our advertising partners declined by 11% over the same period. Consequently, we believe that we will be able to deliver attractive returns on ad spend to our advertising partners as eCPM grows over the long term. Gross margins were 59% in Q4, up 3 percentage points year-over-year. We continue to make significant progress against our goal of driving down our underlying infrastructure unit costs over time. In Q4, these efforts resulted in infrastructure costs per DAU of $0.69, down from $0.72 in the prior year. On the content side, we invested to support the launch of spotlight in Q4 and this contributed approximately $40 million to our cost of revenue in Q4, representing a 5 percentage point headwind to gross margin expansion in the quarter. While it is still very early in the development of this new content platform, we are highly encouraged by the initial results and excited about the potential for Spotlight to further expand our monetization opportunity in the future. We are particularly pleased that we have been able to support the launch of Spotlight while continuing to expand our gross margins, which reflects our overall approach of scaling our operations efficiently while making investments in the future of our business. Operating expenses were $369 million in Q4, up 36% year-over-year. People and related costs grew 33% year-over-year in Q4, driven by a 24% increase in average full-time headcount and higher cash compensation cost per team member. Growth in our average full time headcount was driven primarily by continued focused investments in our monetization and engineering teams to scale our top-line growth and accelerate the pace of our product innovation. As we noted earlier this year, we have invested incrementally in our cash-based compensation programs in 2020. However, this investment is offset by a lower rate of dilution. In addition, we have continued to grow our investments in marketing in order to build on the momentum, we have established with our advertising and Snapchatter communities. While it typically takes time for the benefit of these investments to become evident in our output metrics, we are encouraged with the progress we have observed thus far. Q4 marked our second consecutive quarter of adjusted EBITDA profitability at $166 million for the quarter, an improvement of $123 million year-over-year. We noted on our prior call that our cost structure would grow at a faster rate in Q4 than in any recent quarter and this was the case as we invested in content to support the launch of spotlight in hiring to grow our talent base and in marketing, as I noted earlier. That said, we were particularly pleased that we were able to make these investments, while still delivering adjusted EBITDA leverage of 35% in Q4 as we continue to make progress towards profitability and sustain positive free cash flow. Net income was negative $113 million in Q4, an improvement of $128 million over the prior year and $87 million over the prior quarter. The year-over-year improvement in net income reflects the flow-through of improved adjusted EBITDA and a favorable comparison against the one-time legal expense that was accrued in the prior year. These factors were partially offset by the impact of interest expense related to the convertible notes issued over the past year and higher stock-based compensation, driven by a higher headcount and higher payroll taxes that vary with the stock price. Total fully diluted shares outstanding grew just 3% year-over-year in Q4, down from 5% in the same quarter of last year. We consider careful management of our fully diluted shares outstanding to be a key input to building shareholder value over the long term, and we are pleased to see our output metrics reflect the progress we have made in this area. Free cash flow for Q4 was negative $69 million, an improvement of $7 million year-over-year driven by the improvements in adjusted EBITDA that were largely offset by the timing of a $98 million legal settlement payment made in Q4 and the net increase in working capital that resulted from accelerating revenue growth. Notably, absent, the one-time legal settlement payment in Q4, we would have generated approximately $29 million in free cash flow in Q4, which we view as a positive demonstration of our progress towards sustained free cash flow generation. We ended the quarter with $2.5 billion in cash and marketable securities, up from $2.1 billion in the prior year as the proceeds of convertible notes issued in Q2 of 2020, more than offset the investments we have made to grow the business over the past year. Before we discuss the quarter ahead, I would like to take a moment to reflect on the remarkable progress we have made as a business. Growth in our community is accelerating and we have now delivered five consecutive quarters of year-over-year DAU growth in excess of 15%. Full year revenue for 2020 was $2.5 billion, an increase of 46% year-over-year and we exited 2020 with the highest year-over-year revenue growth rate we have reported since 2017. Our revenue has more than doubled since 2018 and while we have invested aggressively in the future of our business, we have expanded our gross margins by 19 percentage points and delivered 47% of our incremental revenue to the adjusted EBITDA line over the same two-year period. We set a goal to achieve full-year adjusted EBITDA profitability at the outset of 2020 and while the past year presented many unexpected challenges and opportunities, we are tremendously proud of the way our teams executed this year in order to reach this milestone by delivering $45 million in adjusted EBITDA profit in 2020. We are closer than ever to achieving our goal of delivering sustained positive free cash flow and being able to self-fund our investments in the future as a result. We have also strengthened our balance sheet materially over the past two years and ended 2020 with more than $3.5 billion in available working capital inclusive of cash, marketable securities and/or existing credit facilities. We close out 2020 with strong momentum across our platforms and well-positioned for the future. We look forward to speaking with you more about the future of our business and our long-term financial opportunity during our first ever Investor Day on February 23. Until then, I would like to share a little bit about how we expect Q1 may unfold. While we have benefited from an improving operating environment in the second half of 2020 and remain optimistic about the momentum, we have established in our business, we are conscious that external factors may emerge that could impact our momentum. For example, we experienced a period of interruption to advertising demand, in the first two weeks of January as many brand advertisers paused campaigns during this period amid events at the US Capital. And thus we started the quarter slower than we would have otherwise expected. We anticipate that the iOS platform policy changes to be implemented later this quarter will present another risk of interruption to demand in the period immediately after they are implemented. It is not clear yet what the longer-term impact of those changes may be for the top-line momentum of our business, and this may not be clear until several months or more after the changes are implemented. As we look forward to Q1, we estimate the daily active users will grow year-over-year in Q1 at a rate of approximately 20% to reach 275 million. On the revenue side, if we are able to sustain the momentum, we have observed in recent weeks, we believe that our revenue growth rate approximately equal to what we reported in Q4 could be attainable in Q1. That said, our guidance range is for year-over-year revenue growth of 56% to 60% and this range reflects our best estimate of the potential impact of interruptions to demand associated with the iOS platform changes that we anticipate will be implemented in the final month of the quarter. This would result in revenue of approximately $720 million o $740 million in Q1. On the expense side, we intend to continue to invest in the long-term growth of our business and we will continue to support the launch of Spotlight with our $1 million per day creator fund in order to build on the momentum we are seeing with this exciting new platform. As a result, we estimate that adjusted EBITDA will be approximately negative $70 million to negative $50 million in Q1. Thank you for joining our call today and we will now take your questions.
Operator: [Operator Instructions] And the first question comes from Ross Sandler of Barclays. Please go ahead.
Ross Sandler: Two questions, maybe start off with overall demand environment for Snapchat advertising in 2021 question. So Google and Facebook, which are these behemoths in the industry are both talking about accelerating growth in 1Q and 2Q. And I know there's a lot of moving pieces with - you're tough comp in Jan, Feb and then the easy comp in March and then decide EFA stuff, so I guess what's baked in - is the 60% growth you're seeing like kind of what's happening right now? How material of an impact do you see from the iOS changes, any additional color there would be helpful, just on the overall macro? And then, add in the second question is, you guys have launched a lot of cool new products over the years, you invented a lot of things in this industry, how would you rank Spotlight in terms of your new products that you've launched in terms of potential to drive significant increase in either user growth or engagement compared to maybe maps are games or some of the cool lenses you've put out? Thanks a lot.
Derek Andersen: Thanks a lot, Ross, it's Derek speaking. I'll take the first part of your question, then I'll kick the second part about spotlight over to Evan. Maybe just to give you a little more color on the forward look and the guide on revenue, I guess what I'd say is, for starters, we're really encouraged by the momentum we've established for their advertising partners in general at a high level. We saw the active advertisers double year-over-year in Q4, and we think that's a pretty, pretty strong indicator that we're delivering value to our partners and we have good momentum with them. We're also pleased with the growth we've been able to put up in total on the revenue line at 62% in Q4, which is a 10 point acceleration over the prior quarter of 52. So, the range we're looking at in the quarter is between 56% and 60% is what we gave on the guide, which would be amongst the highest year-over-year growth rates we reported as a public company, but potentially just below the prior quarter. And I can share a little more context there. One as you noted at the beginning of the quarter, we did see some positives from advertisers at the beginning of the quarter. I mean some of the events that we saw at the capital, we have worked with our partners reestablished the momentum we've got campaigns back going since then and we've resumed momentum after this period. I noted a little bit in prepared remarks that if we were able to sustain the momentum we're seeing right now in recent weeks, through the remainder of the quarter, we actually think that we could achieve growth rates in Q1 that are approximately in line with what we observed in Q4. That said, we do anticipate that there could be another interruption to demand later in the quarter, as we see some of the iOS changes implemented and as we work with our advertising partners to navigate those changes also implemented. So given that risk of interruption in demand that lies ahead, we wanted to make sure that we call that out and also to ensure that any guide we provided reflect our best estimate of those risks to interruption in the back half of the Q. So as I said earlier, it isn't clear what the longer-term impact will be to our top-line momentum of that, this may not be clear for some time after the changes are implemented. So, the risk we're calling out here is more specific to the interruptions we expect during the period of implementation of those changes to the platform as we work through those with our partners. So again, really pleased with the momentum that we saw in the second half of 2020, really pleased with the acceleration that we saw on Q4 top-line to 62% and pleased with the momentum that we're seeing in the business right now and working to keep that momentum going. So hopefully that gives you a little bit more color. I'll turn it over to Evan to touch on Spotlight.
Evan Spiegel: Thanks Ross, for the question on Spotlight, we're very pleasantly surprised with the momentum Spotlight but admittedly, I think we start with some great raw ingredients, meaning we have such a widely used camera with over 5 billion snaps made every day, and incredibly creative community and of course, a really large audience that loves watching mobile content. So, maybe we should have expected it, but so far it's really often the races with over 175,000 video submissions every day, and an audience of over 100 million people in January. So, really excited with the early momentum, and we now that we have both sides of the marketplace, meaning the content submissions and the audience, we can do a lot of work to optimize our ranking and make sure we're doing a good job with content understanding, serving the right content to the right people based on their interest. So lots of opportunity ahead and the team is making great progress really quickly growing engagement on that product. So really excited about where we're at with that.
Operator: The next question comes from Michael Levine of Pivotal Research Group. Please go ahead.
Michael Levine: Well, thanks for the question guys. I'd love to ask both Jeremi and Evan, on the AR and VR front, I guess I'm curious do you think that this could be the year that we really see an inflection with respect to advertisers willing to invest in this from a content perspective and what do you, what do you feel like advertisers basically still need to see in place to go ahead and feel comfortable with that?
Jeremi Gorman: Hi Michael, thanks for the question. Yeah, I think you know it's been a really exciting period for us, we've seen a lot of acceleration in demand for AR advertising in particular as more and more people are at home and the living room becomes a new showroom. And at this time, we really don't see going backwards. In terms of becoming more mainstream and showing up more regularly and advertiser buys, I think there is kind of three focus is there, the first is on delivering ROI with AR and we started to develop a lot of those tools, which I'll talk about in a second here. And then, reducing the cost of creating AR, really important largely by commoditizing the and democratizing the ability to do it. And then lastly, again, it is just kind of ease of creation. So most importantly, we have the reach and engagement with augmented reality to build a large business and some of the businesses they're both using lenses. So as Evan just mentioned over 5 billion videos and pictures taken every day in the camera. So really, really great base to build on there and foundation. And then we've been new focused on demonstrating the ROI of investing in lenses and I think that's really important. What used to be this kind of takeover products for the big branding moments have now turned into a highly performing ad format where you can buy directly from the lenses themselves, where you can do goal-based bidding down funnel activities on lenses. For AR, the creative can take a bit longer to develop and therefore it's really important that the results speak for themselves. They have to be worked at when you advertisers put this in, but some of our recent efforts we're trying had definitely lead to meaningful improvements in purchase and conversion. As I mentioned, it does take a little bit of time to build that we're also heavily investing and improving tooling for lenses and making them easier to build in Lens Studio including creating Lens web builder to make it anyone - easy for anyone to build their own AR experience online, but honestly going forward, we will see a huge opportunity to innovate in augmented reality and we have been blown away by our community and how they've leverage tools like Snap machine learning which allows people to upload ML models and run them in real time within Lenses, the power new experiences. We believe that engagement with augmented reality is at a meaningful scale and to answer your question directly. Yes, it definitely justifies advertiser intent. And we've been able to validate those investments with clear ROI. So we're going to continue to make lenses easier to create and more powerful, which will help grow the AR opportunity for years to come.
Operator: The next question comes from Heath Terry of Goldman Sachs. Please go ahead.
Heath Terry: I was wondering if you could update us a bit on the strategy for Snap Audience Network, particularly with Unity coming on board. What kind of impact do you expect that's going to have to its contribution - the Audience networks contribution to grow and then maybe from a higher level for partners that are at the scale that something like Unity, how do they make the decision to work with Snap versus what are the other networks that's available to them?
Derek Andersen: It's Derek speaking, I think the first thing I'd say is we're very early with the Snap Audience Network. It's not currently a significant or material part of the business at this point in time and so it's not also factored in as a major factor on a go-forward. So we're very early in the process of growing and experimenting with our business and bringing on partners that can help the business. So very early to be talking about the direction that that's going to drive in terms of revenue and top-line growth and what have you. I think what I would say, at a very high level though is that partners value our unique ad formats and that's one of the things that makes our platform attractive and of course, vertical video being a part of that augmented reality and of course, bringing the audience into that. So very early, we'll update you as that becomes more significant. But we're just getting started in that area today.
Operator: The next question comes from Rich Greenfield of LightShed Partners. Please go ahead.
Rich Greenfield: Hi, thanks for taking a couple of questions. First, we see the word [indiscernible], it's sort of used everywhere, it seems these days, but the avatars are generally tied to each platform and Evan you bought Bitmoji a while ago. We're starting to obviously see it more and more places and wondering does this have the potential to sort of be a global or universal avatar and how should we think about monetization opportunities for Bitmoji not just within gaming what beyond gaming? So just sort of any recent examples are just what are you thinking about Bitmoji over the next couple of years? And then two, I think over the last couple of calls, you talked about sort of how Map is going to start to see more and more businesses and I think in the prepared remarks you made comments about personalized map or the most personalized map, when do we start to see small and medium businesses really start to populate on the map? Is that a 2021 event or do we have to wait longer. Thanks so much.
Evan Spiegel: Thanks rick. We're so excited about what's happening with Bitmoji and the team has been doing such an incredible job driving towards their vision of being the world's avatar, we've got a couple of focus areas for Bitmoji. One of them is just involving the avatars themselves, the avatar style. We've been investing a lot in 3D, which enables use in much more sophisticated games. So that's been a big focus of ours and of course making a lot easier for people to express themselves with their avatar that means improving the Bitmoji editor adding new fashion brands and partners like Ralph Lauren that Jeremy mentioned earlier. And of course trying to improve and strengthen the Avatar bond, the bond that people have with their Bitmoji which we do through partnerships. So for example, the integration of Bitmoji with the Samsung keyboard. So, we're going to continue pushing forward on those fronts. We certainly see opportunity for monetization longer term. But frankly, the opportunity is just still so large and so early that we're going to invest in improving avatar themselves and really increasing their utility interestingly one example that we saw recently was game developer that integrated their Bitmoji into their games so radically reduced conversion costs and customer acquisition, which had then allowed them to monetize their game at a higher rate. And so that's a really cool example where we're extending Bitmoji into partner games and services adding a lot of value for the partner and of course, adding value for our community because they feel so strongly about their relationship with the Bitmoji that are excited to play a game really as themselves. So that's definitely a great opportunity for us looking forward, and then when it comes to the Map, I think it is probably important just maybe breakout the SMB opportunity into two sort of different maybe categories; one, in our digital native smaller businesses and they're really trying to grow with things like our dynamic product ads or goal-based bidding, which we have our pixel integration for but if we look at local businesses, there definitely is an opportunity longer term on the Map. We started just by making sure the businesses can be easily discovered on the Map today and we're really focused on adding actions around those businesses. So right now you can place an order or find directions, make a reservation, you can share with your friends and we're going to continue to build engagement around businesses on the Map and over time will be able, I think to convert that into another monetizable surface for Snap. So, as with all of our platforms, we really just try to create value for our community to build that engagement and then over time think about converting that into a business. Thanks for the question.
Operator: The next question comes from Justin Post of Bank of America. Please go ahead.
Justin Post: It's been really interesting, Evan, to watch the evolution of the app over time and big change in November when it's considerably smoother than one of the prior changes, just what are your learning from that and are you really seeing an increase in engagement from that change since that happened and what can you tell us about that. And secondly, obviously Spotlight is to a great start. Do you see that usage is incremental or is it taking maybe away a little bit from other areas? Thank you.
Evan Spiegel: That's a great question. Thanks so much. So I think first and foremost huge credit to our engineering and product teams and of course all the folks working on our data platform and whatnot, who have gotten so good. They are really understanding what's happening on our platform, being able to test and iterate on big changes that we're making and they've just done an outstanding job allowing us to continue to move really quickly and try really big ideas without being disruptive to the platform overall. So, really all the credit goes to the team on that one and what we're excited about is now that we've built that muscle and we've demonstrated that we can move really quickly on these big changes that frees us up to try new things. And that combined with these platform investments in iOS for example, more recently, where we have improved the architecture on the client itself similar to how we approached some of the challenges we faced on Android, those changes also allow us to move faster. So, we've got this combination out really deep understanding of what's happening on our platform, the ability to test, really, really quickly and a new architecture that allows us to move faster both on the front end and the back end. So, overall just really can't thank the team enough for all their hard work there and it shows that we're going to be able to move a lot faster and innovate in the future. And then separately, when we look at Spotlight we're super excited. So far, it looks like a lot of that engagement is incremental and that really speaks to the new layout of the service around the action bar which allows people to easily access different parts of the platform and that doesn't totally surprise me because Spotlight fills a really different need than Stories for example that allow you to catch up with your closest friends and really see the world from their perspective. So as we look at Spotlight that content, it's really the best of Snapchat and people are submitting the snaps that are the funniest or most engaging or most interesting. So I definitely think that content fills a really different need for our community, and we're excited about the engagement we're seeing so far.
Operator: Your next question comes from Lloyd Walmsley of Deutsche Bank. Please go ahead
Lloyd Walmsley: Thanks. Two questions if I can. First just, the 4x growth in dollars around four down funnel metrics is spectacular. How do you guys get comfortable that the momentum in these ad unit is sustainable through these upcoming iOS changes that are going to effectively blind ad platforms to down funnel measurement. Is Apple going to back down in some of these restrictions or do you think opt-in rates are high, or are your CPMs just so low and services like Spotlight just so meaningful that it doesn't matter but curious to get your take on that. And then secondly, you now have ad units to help advertisers across the funnel. So when you look at your customer base and what they're doing, are they using all of these tools on Snap. How are you going to market to make them aware of all that, how much of an opportunity is it to get them buying across all of these units and leveraging the full value of the platform.
Jeremi Gorman: Thanks, Lloyd. Really appreciate the question. I'll take the IDSA one first, and the 4x growth as you're saying in our down funnel metrics were also thrilled to see that, but as it comes to IDSA and the changes whether or not that will impact us, the reality is we admire Apple and we believe that they are trying to do the right thing for their customers. They're focused on protecting privacy is aligned with our values in the way that we've built our business from the very beginning. So, the team here that we're really focused on has less to do with IDSA for which Apple has long offered an opt-out and instead on a much more broad policy change that requires Snapchatters to opt-in to tracking with other personal identifiers such as their email address, which was really harder for us than the overall digital ad ecosystem to match advertising outcomes. But we've been working really closely with Apple to implement SK ad network, which is their privacy protective as well as building our own solutions that use aggregated data to protect privacy. We've been communicating very well with advertisers, educating them, talking about them deeply about these coming changes and encouraging them to implement our conversion API and measurement to mitigate any of this and then longer term we're investing and using first party data from our platform and providing more opportunities for on platform conversion that will really help. Overall, we feel really well prepared to these changes. But changes to this ecosystem are usually disruptive and the outcome is uncertain. To talk to your second question regarding the ad units and how it's helping advertisers across the funnel, you're right, the advertisers who are most successful on Snap are using broad - our broad portfolio of targeting optimization and/or format choices across AR, Commercials, Snap Ads, Story Ads going in with each of the goal-based bidding products and really optimizing their overall campaign. We do see a significant opportunity to get more advertisers using all the features and functionality that we offer. We do have multiple case studies that show the value of utilizing multiple formats. The ones I just mentioned before, but we don't make it as easy as we thought. So it's very much still day one here in terms of ensuring that all of our advertisers use as many of our products as possible to get the best outcome for their dollar, but we are specifically focused on driving adoption, retention driving products and features and we know that ROI is the best retention future we could possibly have. So we continue to focus on measurement optimization and delivering that ROI for our advertising partners.
Operator: The next question comes from Mark Shmulik of Bernstein. Please go ahead.
Mark Shmulik: Yes, hi, thanks for taking my question. I guess if we think about advertisers growing 2x this year, as we look ahead to kind of 2021 and sales objectives, any color you can share and how you think about that strategically between continuing to grow the advertiser base versus, I think what we just talked about around growing share of wallet in cross-selling more products and services within it. And then my second question, well I'm generally not want to kind of compare across, I think this quarter you guys really only wants to grow domestic users sequentially. So, any color you can share on what you've been doing to drive that re-acceleration and whether you expect those trends to continue? Thank you.
Jeremi Gorman: Sure, this is Jeremi. As mentioned before regarding advertiser growth, we exited in 2020 with both the best momentum we've ever had in our advertising business, more than doubling advertiser count year-over-year in Q4 and again putting up highest number of advertisers of all time. I think the important part about that is really the diversity of advertisers and the diversity of demand in our ecosystem and how that makes our entire marketplace stronger. We set up our team in three different category, the first of which focuses on enterprise or large-scale plants that have complex buying structures and then there is a tier called emerging, which is focused on advertisers that really focus on VR and ensuring that those app installed e-com, et cetera. And then lastly, we have a skill function that goes out to get small medium businesses, small e-commerce advertisers, people who utilize Shopify as their back-end for instance, have a diversity of advertisers set in the ecosystem. So that everybody can succeed. So we're really focused on growing that demand and we'll continue to do so for years to come.
Evan Spiegel: On the DAU question, we're really excited about the momentum we're continuing to see in the United States. I think a lot of this has to do with the large investments we've made in underlying technology platform form over the last several years. In addition to a lot of fantastic innovation around things like augmented reality and of course Spotlight. So, we're going to continue to differentiate our products, do our best to really serve the needs of our community. And I think we're still at the early stages of our growth given how powerful visual communication is, young people in particular prefer to communicate visually, and increasingly, we're seeing people embrace visual communication as their preferred method. So well, a lot of opportunity in front of us there, and thankfully, a lot of these investments we've made over the last few years are paying off.
Operator: The next question comes from Brian Nowak of Morgan Stanley. Please go ahead.
Brian Nowak: Thanks for taking my questions. I have two, the first one on Spotlight monetization, curious just to hear about what - what sort of mechanics or technologies are already in place for you to start to test on Spotlight monetization and what are some of the investments you still need to make to sort of eventually start to beta test and rollout Spotlight monetization as we think about 2021? And then, the second one on content investment, maybe, Evan, just talk about, as you look at the explore tab, what do you think are sort of some of the key content investment areas that will be important for that tab to continue to evolve throughout 2021?
Evan Spiegel: Yes. So I think as it pertains to the monetization timing on Spotlight, it's still really early. We're going to focus on growing engagement. But fortunately, we've got a lot of demand for our vertical video, which is the format we will use to monetize Spotlight and of course, all the underlying advertising infrastructure. So I think Spotlight will be a great way for folks to extend their video campaigns, but again, we're focused on the product experience today and we'll think about testing a little bit further down the road. And then as it pertains to Discover we've been doing a lot here, especially on content supply. So really trying to understand what sort of content is resonating with our community, where the gaps are in terms of different demographics and interest, making sure that we can meet that demand with the requisite supply and then taking a couple of big bets around compelling new shows for our community, because we see that there is really a lack of investment in premium mobile video and that's an area where we can - we can really grow. So I think overall, we're just able to use a lot of our understanding of our audience to think about where to make content investments and improved supply either with original content or through syndication and of course, with our partners.
Operator: Our last question will come from Doug Anmuth of JPMorgan. Please go ahead.
Doug Anmuth: Thanks for taking the question. Evan, just wanted to ask the early 1Q disruption stands in contrast, I think to your positioning as a curated and more brand safe platform. So, just curious if you can talk about your efforts here and just how much the differentiation is resonating with marketers and agencies? Thanks.
Evan Spiegel: Jeremi might be better positioned to talk about how our positioning is resonating with advertisers, I know she's having a lot of conversations with our partners. But I think just broadly speaking, when it comes to some of the policy changes that Apple is making. We really think of them as high integrity folks and we're happy to see them making the right decision for their customers. So, of course, this is in line with how we've been thinking about building our business since the beginning, we really innovated and I think we'll continue to innovate. So this is really an opportunity to work together with our partners, work together with Apple and really move forward in a way that benefits everyone in particular consumers who deserve to be protected.
Jeremi Gorman: And I can take it that from there regarding what advertisers and agencies are saying to us. I think when we look at the overall industry, the growth - the growing focus on brand safety and privacy across the entire industry actually places us in a really unique and beneficial position given what Evan just said, which is that, from the beginning of our business, we made defining decisions that helps us avoid many of the issues seen on other platforms. So a lot of the conversations we're having with advertisers and agencies are around things like the fact that we don't have any comments. For instance, the fact that it is that - our groups can only be 64 people, that is another good example of that but friendship need to be bidirectional and when you get into that with advertisers and agencies, they truly understand how our design was different from the beginning. In addition, we have very clear policies and we adhere to those policies consistently. But it really is the very foundation of both our consumer product and our advertising business that's been built around commitment to brand safety and privacy. So the positives that we mentioned for earlier in the year aren't related to Snap specifically, some minor disruption as it pertains to the overall market, as things we're shifting and changing, but we believe that building trust with trust with our community and providing a safe environment on Snapchat is actually the most critical things to our long-term success because our customers coming here and they have fun and they feel safe and it's a private and enjoy their experience on Snapchat, which means that they will continue to stay with us for years to come and those growing audiences or what advertisers want to see. And we really take this all very seriously, including with Spotlight all content is manually reviewed by our team before its surface to a large number of Snapchatters meaning it can't go viral without a manual review and we will continue to adhere to those practices as it's core to our foundation and frankly, from my point of view, it has been an extreme tailwind as advertisers look to align their values other businesses that share those same values in our safety by design and privacy by design principles and commitment to our community, really, a lineup with looking at their money.
Operator: This concludes our question-and-answer session as well as Snap Inc.'s fourth quarter 2020 earnings conference call. Thank you for attending today's session. You may now disconnect.